Operator: Good day ladies and gentlemen and welcome to the PerkinElmer 2010 Quarter 1 earnings conference call.  My name is Jonathan and I’ll be your operator for today.  At this time all participants are in a listen only mode.  We will conduct a question and answer session a question and answer session towards the end of this conference.  (Operator Instructions) I’d now like to turn the call over to Mr. David Francisco.
David C. Francisco: Thank you. Good afternoon and welcome to the PerkinElmer first quarter 2010 earnings conference call.  I’m Dave Francisco, Vice President of Investor Relations and Treasurer for PerkinElmer.  With me on the call are Rob Friel, Chairman and Chief Executive Officer and Andy Wilson, Senior Vice President and Chief Financial Officer.  If you have not received a copy of our earnings press release, you may get one from the Investors section of our website at www.PerkinElmer.com or from our toll free Investor Hotline at 1-877-PKI-NYSE.  Please note this call is being webcast live and will be archived on our website until May 20, 2010. Before we begin we need to we need to remind everyone of the Safe Harbor statements that we've outlined in our earnings press release issued earlier this afternoon and also those in our SEC filings. Any forward-looking statements made today represents our views only as of today. We disclaim any obligation to update forward-looking statements in the future even if our estimates change. So you should not rely on any of today's forward-looking statements as representing our views as of any date after today. During this call, we will be referring to certain non-GAAP financial measures. A reconciliation of the non-GAAP financial measures we plan to use during this call to the most directly comparable GAAP measures is available as an attachment to our earnings press release. To the extent that we use non-GAAP financial measures during this call that are not reconciled to GAAP in that attachment, we will provide reconciliations promptly. I'm now pleased to introduce the Chairman and Chief Executive Officer of PerkinElmer, Rob Friel.
Robert F. Friel: Thank you, Dave. Good afternoon and thank you for joining us today.  Let me begin by saying that we are pleased by our first quarter financial performance. We started the year strong and believe that we are very well positioned strategically in attractive end markets and innovative technologies. Our results on the top line exceeded our expectations, as many of the most challenged markets in the economic downturn returned to growth in the quarter.  We are particularly pleased with these results given the difficult comparisons from the first quarter of 2009, including the impact of the extra selling days that we had in the first quarter last year. Additionally we were able to significantly expand operating margins and generate strong growth in both adjusted earnings per share and cash flow.  Amy will provide more details on the financial performance shortly.  I would now like to share some of our first quarter highlights regarding progress on our key initiatives to increase the growth profile of the company and expand detection and prevention capabilities to advance human and environmental health. Starting with human health, we recently announced our intent to acquire Signature Genomic deepening our commitment to the diagnostics market.  Signature brings complimentary services to our existing diagnostics profile with cutting edge cytogenetic technology providing unmatched accuracy and comprehensive [vista] results. In addition to complimenting our current business, Signature provides expansion opportunities in the diagnostic oncology with an offering that combines multiple key detection elements in a single assay.  We launched our new backs-on-beads technology, a multi-plex diagnostic tool that can detect markers of multiple diseases from a single serum sample, to the European market this quarter with strong early receptivity resulting in key customer wins in large hospitals and labs. Additionally we are piloting a new diagnostic technology program for detecting severe combined immunodeficiency disorder or SCIDS.  A primary deficiency in the immune system that results in the onset of serious infections, even life threatening ones, within the first few months of life. This pilot project for SCIDS screening provides significant opportunity going forward as it is expected to be the first edition to the next menu expansion of mandated newborn tests in U.S. markets. In our research business we have seen continued strength from our region portfolio including increased demand for our AlphaWise technology due primarily to the migration to biologic-based drug discovery research. We are finding that pre-clinical research laboratories are now standardizing their equipment around AlphaWise to aid in the detection of cardiovascular, cancer, diabetes, and neurological diseases. In environmental health, we continue to address critical environmental health and consumer safety concerns with market driven innovation and response to increased global regulatory mandates and the identification of new contaminants. In Asia [inaudible] regulatory enforcement has driven increased demand for environmental and food safety monitoring systems as this region migrates toward Western compliance standards.  For instance, an effort to address food safety concerns in China, we are providing the government authority with more than 100 atomic absorption spectrometers for toxic-metal contamination testing. In addition, we are seeing strong demand trends in other developing regions within Southeast Asia to impose the stricter quality [work] standards.  In regard to our strategic initiative to expand our mass spec capabilities, I am pleased to report that we have finalized the purchase of the remaining interests of the joint venture. Our continued commitment in innovation in this technology will provide our customers with solutions that support the analysis of component elements, trace elements, or contaminants in samples of interest leaning to improved products and applications to their end markets. The new Nexion IC-PMS system recently launched at Pittcon advances this trace element analysis with three modes of operation within one instrument creating a highly efficient lab environment.  Additionally we have partnered with Abbott in the area of pathogen detection through the incorporation of our time-of-flight Mas-Tec technology and Abbott’s Plex-ID Pathogen Detection system. The Plex-ID system can rapidly and accurately identify pathogens, as well as alert health officials to new disease strains, help guard against bio terrorism, and help hospitals identify antibiotic resistant bacteria in their facilities. In summary, we are pleased with our strong start to the year financially, as well as the progress made on our growth initiatives toward the advancement of human and environmental health.  As mentioned, we are encouraged by the improving trends that we are seeing in our end markets as visibility slowly improves throughout our businesses. Given this, we have decided to increase our guidance reflecting our revised estimates for the full year of mid-single digit, organic revenue growth and adjusted earnings per share in the range of $1.43 to $1.48. I will now turn the call over to Andy to give more details on our Q1 performance and guidance.
Andy Wilson: Thank you, Rob. Good afternoon, everyone. I will now provide some additional color in our first quarter results.  After my prepared remarks, we will open up the call for questions. Before moving into the financial details, I would like to clarify that whenever I talk about a particular measure being up or down, I’m referring to an increase or decrease in that measure during the first quarter of 2010 compared to the first quarter of 2009. As Rob mentioned earlier, we were pleased with our financial performance in the first quarter as we were able to deliver solid revenue, earnings and cash-flow growth over the prior year, particularly considering the extra selling days during the first quarter of 2009. As discussed last year, the increased number of selling days in the baseline contributed to a couple of points of growth in the first quarter of 2009 and this growth had a disproportional impact on our service, reageant and consumable offerings. Revenue for the first quarter increased 7% as compared to the same period last year.  The favorable impact of foreign exchange was 4%.  The favorable impact from acquisitions was 1%.  Therefore, organic revenue increased by 2% versus the prior year.  The remaining revenue analyses in my prepared remarks will be presented net of the favorable impact of foreign exchange and acquisitions. By segment organic revenue increased by 2% and 3% in the human health and environmental health segments, respectfully.  By geography organic revenue in the Americas was flat.  Europe was up low-single digit and Asia grew at a low double-digit rate.  Within the Asian region, organic revenue in China grew in the high teens.  We experienced solid low double-digit growth in the emerging territories throughout southeast Asia. From an in-market perspective, PerkinElmer’s human health segment represented approximately 41% of total revenue in the quarter.  Within human health we served two in-markets diagnostics, which represented 24% of total revenue and research with represented 17% of total revenue. Organic revenue from our diagnostic’s business grew at a mid single-digit rate for the first quarter with our medical imaging business returning to positive growth after considerable contraction in 2009. In the first quarter, organic revenue in our research business was flat as this business cycled up after a difficult comparison from the first quarter of 2009 growing low double-digit in the prior year.  We did have [inaudible] demand in our reagent portfolio but this strength was offset by limited capital investment in our high-end instrumentation. The environmental health business represented 59% of our total revenue in the first quarter.  Within environmental health we served 4 end markets; laboratory services, environmental, safety and security, and industrial.  Our lab services business represented approximately 20% total revenue in the first quarter and organic revenue grew at a low single-digit rate. OneSource our customer-focused, multi-vendor offering maintained strong momentum proving another solid quarter of organic revenue growth.  The environmental market represented approximately 17% of total revenue in the first quarter with organic revenue increasing at a mid single-digit rate. As Rob mentioned, we saw strong growth in Asia due to increased demand and response to local regulatory requirements, primarily around water quality migrating to western compliance standards.  Additionally we experienced continued strong demand for our renewable energy offering, particularly in the development of photovoltaic cells used in solar panels. This growth was partially offset by continued capital constraints impacting some of our smaller customers.  The safety and security market represented approximately 15% of total revenue in the first quarter with organic revenues increasing at a mid single-digit rate. We continue to see improving growth opportunities in food and consumer safety testing as regulatory requirements around the world become more stringent and safety concerns extend to food additives and packaging materials.  Additionally in the quarter, we saw continued strong demand for our thermal power sensors in response to the H1N1 virus. Lastly, we are beginning to see signs of recovery in extra [inaudible] offerings related to fire protection and intrusion alarms as the housing market stabilizes.  Industrial markets represented approximately 7% total revenue in the first quarter and organic revenues increased at a low single-digit rate. We are encouraged to see these markets begin to stabilize and return to growth.  We continue to see traction in chemical opportunities as well as materials prioritization primarily related to research on new materials. Turning to our financial performance, adjusted operating margins were up 100 basis points in the quarter, primarily due to successful ongoing cost initiatives and volume leverage.  GAAP operating profit was $39.4 million in the first quarter of 2010 versus $25.3 million in the first quarter of 2009.  Adjusted operating profit was $55.6 million versus $48 million in the first quarter of 2009. For the first quarter, we had an effective tax rate of 27.6% on a reported basis versus a previously communicated tax rate of 29% as we experienced a positive shift in the geographic mix of income.  GAAP for EPS for continuing operations in the first quarter of 2010 was $0.22 compared to $0.13 in the first quarter of 2009.  Adjusted EPS was $0.31 in the first quarter of 2010, up 19% from the prior year. Regarding our weighted-average diluted share account, we had 117.9 million shares outstanding in the quarter, which was up substantially by approximately 1 million shares due to the issuance under existing stock compensation plans. Turning to the balance sheet, we finished the first quarter with approximately $347 million net debt, which we defined as short and long-term debt minus cash.  This reflects a decrease and adjusted net debt of approximately $66 million as compared to the prior year.  At the end of the quarter, we had approximately $182 million of cash. Looking at our cash flow performance for the quarter, operating cash flow from continuing operations was $52.1 million, this compared to $18 million in the first quarter of 2009.  If you remember the call on the first of 2009, we reduced the amount drawn under our accounts receivable securization facility by $10 million resulting in an unfavorable impact to operating cash flow in the quarter. The remaining year-over-year increase and operating cash flow was primarily attributable to solid working capital performance as well as the timing of tax payments.  Working capital turns for the quarter improved slightly year-over-year. In summary, we are pleased with our financial performance for the quarter, driving strong earnings growth and solid cash flow generation and we are encouraged by the trends we are seeing in our assertive markets. Let me now discuss our 2010 guidance and provide some further detail.  Regarding invested earnings per share, we incorporated 4 key elements into our full-year outlook.  First, we now anticipate full-year revenues to grow organically at a mid single-digit rate versus our previously communicated low to mid single digit growth expectation with the second quarter growing mid-to-high single digits. Second, given the traction that we experience in our modern expansion efforts in the first quarter, we are raising the low end of our forecasted improvement by 25 basis points and now expect adjusted operating margins to increase by 75 to 100 basis points for the full year. Third, we expect our effective tax rate to be approximately 200 basis points lower than we previously communicated primarily due to more favorable geographic distribution of income and anticipated beneficial tax legislation. Fourth, offsetting these upsides is a couple of pennies of expected dilution from the acquisition of Signature Genomics.  Bringing all of these factors together, we now estimate our full adjusted earnings per share for 2010 to be in the range of $1.43 to $1.48 versus our previously communicated range of $1.35 to $1.42 with adjusted earnings per share for the second quarter expected to be in the range of $0.32 to $0.34. Once again, we are pleased with our financial performance in the quarter.  It is clearly a solid start to the year, particularly given the strong baseline for the first quarter of 2009. That is the end of my prepared remarks. So now I would like to turn the call back over to Dave.
David Francisco: Thank you, Andy.  Operator at this time, I would like to open the call to any questions.
Operator: (Operator Instructions)  Your first question comes from the line of Ross Muken – Deutsche Bank
Ross Muken: If we look at the human health business and obviously you had the tough days comp, which is probably more exacerbated than some of those consumable businesses.  Are we able to tease out part of that impact to see what the current run rate is for some of the pieces that were probably most hit last year?  Also, I guess, that probably is true on the service piece?
Robert F. Friel: Yes Ross.  I would say on the human health side we probably would think that those businesses grew sort of in the mid single-digits if you are thinking about training business and the research business.  As Andy mentioned, we did see pretty good growth out of the medical imaging business.  I would say that is less impacted by the days.  So I would say that probably didn’t have much of a material impact on that business but I think on the screening business and the research business.  I would say that it is probably 4 or 5 percentage points.
Ross Muken: As we look at the cyclical businesses, I mean we finally started to see some growth in environmental as well as in safety in security and industrial.  If you sort of had to tease out in their late to early cycle type customers how big would the differentials and ordering patterns and revenue growth?
Robert F. Friel: Well you know I think clearly the growth is coming from the early cycle customers.  I think the late cycle customers are probably going to be back half of 2010 is our sense right now.  But having said that it’s fairly broad based across most of the industries that we play to. We’re seeing sequential growth in probably every market that we sell into.
Ross Muken: And if you sort of to just quickly follow up on that characterize your business between early and late in those three segments what would be the split?
Robert F. Friel: You know I don’t know that I can give you a great split on that other than to say- [crosstalk] --it’s probably pretty evenly split quite frankly.
Operator: The next question comes from Peter Lawson – Thomas Weisel Partners.
Peter Lawson: Congratulations on a strong quarter and just if you can talk about the tone you’re seeing from the bio pharma..
Robert F. Friel: So, I would see in the bio pharma we continue to see good growth on the [inaudible] side.  Some of that is new products or products offering but I think as we’ve felt in the past we continue to see increased use of the regions from an experimentation.  We continue to see good growth on the service side.  Other pharmaceuticals we saw good growth in one source continued in Q1. I would say the area where there continues to be a reluctance to spend CapEx and we didn’t see much of a change to that in Q1 and [inaudible] you mentioned particularly on a high and instrumentation was actually down in the quarter for us so I would say regions and service looks good.  CapEx continues to be constrained.
Peter Lawson: And then on the industrial businesses which end markets have really [inaudible]?
Robert F. Friel: So, for us we saw good growth on the environmental side.  We saw good growth on the food safety side.  I would spike those two out as probably the areas of the strongest strength in the quarter.
Andy Wilson: I would say we saw sequential improvement pretty much across all of our end markets.
Robert F. Friel: Yes, it was pretty broad based but I would say those are the areas where we experience the most significant improvement.
Operator: Your next question comes from Jon Groberg – Macquarie Capital.
Jon Groberg: So, maybe you can just first start off on [inaudible] a little bit your operating margin expansion targets for the year.  Is that mainly just driven by slightly better organic growth or is there anything else maybe you can discuss in terms of raising it?
Andy Wilson: I think we do see a little bit of leverage out of raising the bottom end of our growth expectation.  But I think as we talked about over the last couple of quarters we’ve implemented or in the process of implementing even more cost initiatives that I think will continue to help us expand margins over the next several years. So, I think we did see some good tracks in the first quarter so it gave us a bit of confidence that this was taking hold and so we did feel comfortable taking it up from the 50 to 100 to 75 to 100 so, I’d say it’s a little bit of a combination of both.
Jon Groberg: Andy, just in the first quarter here I mean you’ve kind of talked about a kind of a multi-year opportunity in the first quarter what were some of the more significant areas that you made some [inaudible] in?
Andy Wilson: Well I think as we talked before we are spending a lot of time really looking at areas where PerkinElmer can add value at a corporate level so we saw some initial benefits out of our logistics.  We’re starting to see some early opportunities within supply chain.  So, I think it’s still early days but I think that those two were the primary drivers and so I think we should continue to see those levels of margin expansion going forward.
Jon Groberg: Okay.  And then if I can kind of talk the [inaudible] and I don’t know if you get around 40% of your sales from Europe.  Can you maybe just discuss kind of current thinking with respect to if we are to continue to see a downward spiral in the Euro itself and maybe just kind of what was unique to what you said rather than to what most everyone else said was that Europe was actually up and the Americas was flat and that’s kind of different to what most of the other peers have been saying.  So maybe just kind of talk about what you’re seeing in Europe?
Andy Wilson: You know we saw a slight growth in Europe and maybe it’s because of a different customer or product mix that we have.  And I would see for Q2 we’ve got somewhere expectations may be even a little bit better than what we saw in Q1. From a currency standpoint as you know while it impacts us on a top line we’re fairly well balanced from a distribution of cost and revenues so it shouldn’t have a significant impact on the bottom line.  It had some, clearly, but not significant.  So I would say we just have to wait and see.  Obviously the last couple of days has been fairly dramatic so, we’ll just have to see what impact that has on the broader economy.
Operator: Your next question comes from the line of Quintin Lai – Robert W. Baird.
Quintin Lai: Congratulations on a nice start to the year guys.  As you look at the raised guidance for the year Rob, is that incremental contribution coming from both segments or do you think it’s coming from one segment more so than the other?
Robert F. Friel: No I think it’s fairly broad based.  So, I would say it’s equally distributed between environmental human health and of course Andy also mentioned the fact that our tax rate is going back to where it was in sort of ’07/’08 time frame as our geographic distribution goes back to the split that we saw during that period of time.  So, I would say it’s evenly split for around those, both businesses as well as some improvement in the tax rate.
Quintin Lai: Super.  And then what do you expect for your diagnostics business.  Imaging is up.  Can you provide a little update on how genetic screening and corporate banking went?
Robert F. Friel: So, genetic screening and [corbol] were sort of roughly flat some sort of low single sort of flat. And again I think that’s a little distorted because of those are two businesses that it’s dramatically impacted by the [inaudible]  I mean it’s really sort of a flow business if you will. I think the other thing to keep in mind that we did have a pretty good first quarter 2009.  So, our expectations is when you look at the half those businesses will be mid to high single digits.
Operator: Your next question comes from the line of [Jeff Erris – Lyrics One].
[Jeff Erris: I guess just looking at the raised guidance and where we are today and over the last 2 months.  What was your biggest surprise coming out of the fourth quarter called [inaudible] and how has your visibility changed as we’ve progressed through the year?
Robert F. Friel: I would say it’s the three things that Andy mentioned so clearly the revenue was stronger that we thought and so we’re taking our revenue [inaudible] up.  I think that was attributed to it.  The second thing was we seem to be getting good traction on some of the productivity actions we’ve put in place so clearly taking the margin side up as I mentioned before. As we’re starting to return to a more I would say normalized income distribution geographically that was a contributor.  So, I think all three of those of which we didn’t have great visibility in Q4.  And so I would say those are the ones that are really driving our increased confidence and decision to take the [inaudible] up.
[Jeff Erris: I guess focusing more on the revenue guidance and moving it towards the higher end of what it was before.  How the pacing throughout the quarter and it is more the more the cyclical industry is doing a little bit better as we got through the year?
Robert F. Friel: Well if you’re talking about specifically in the quarter I think the areas where we were pleasantly surprised was probably clinging on the [inaudible] imaging side.  I think Q1 ’09 was actually not too bad of a quarter so we felt we’d actually be down.  In the first quarter of 2010 as I mentioned that actually grew.  And then I would say in some of the applied markets we saw a little stronger strength as we went through the quarter and then consequently gives us the confidence to take the revenue guidance up.
[Jeff Erris: And then just lastly real quick.  The signature that you guys acquired did you guys are you given any financial information or are you willing to give revenue contribution expectations outside of $0.02 [inaudible]?
Robert F. Friel: So just to be clear we haven’t closed on it yet.  We’ve announced that it’s probably going to close there in a couple of weeks and, but I mean just general financial parameters I think we did it’s about $20 million in revenue and it sort of breaks even.
Operator: Gentlemen your next question comes from the line of Derik De Bruin – UBS.
Derik De Bruin: You know you had a $0.04 contribution from FX on the top line.  What was the bottom line impact?  I guess as the Euro moves around is there like a rule of thumb we can use for the company by every 1% move in currencies impacts the EPS by ‘x’ amount?
Robert F. Friel: Generally just based on our distribution where our revenue expenses.  The impact EPS has been [inaudible]
Andy Wilson: It was less than a £0.01 this quarter just to give you a perspective.  Maybe like £0.05 or something like that so not significant.  It’s a little hard Derik because obviously it depends a little bit on what currencies move whether it’s Euro or Yan or etc.  But generally it hasn’t been a dramatic impact either way from a bottom line perspective.  Like I said in this case which was a fairly big move on the top line of 4%.  It was about £0.05.
Derik De Bruin: And I guess just looking at the news today I mean one of your big competitors in the prenatal market is looking at exploring options for that business.  Can you just talk about what your share is in the prenatal screening business and where you are in terms of developing technologies [inaudible] invasive.  Applications [inaudible] for prenatal screening.
Robert F. Friel: I’ll talk about the first question.  I’d rather not want to talk about the second, but other than to say we’re doing a lot of work in that area. But I would say when you think about 4 million births in the US. We’re doing probably about 450 thousand.  Now of course not all those necessarily are getting trained for prenatal, but I would say you’re probably talking about 50% or 60% of births getting some kind of prenatal screening.  So, we’ve probably got 25%, 30% market share.
Derik De Bruin: And I guess where are we in the marker built in.  Have most States gone to standard set or is there still some States that’s still got [inaudible]  I think…
Robert F. Friel: I think when you look the US every State right now does at least 20 or greater.  And you the Standard of Care is 29.  But I would say we’re effectively there from the standpoint of States doing the Standard of Care.  That’s why I sort of pointed out the [inaudible] test because we think that’s going to be probably the next addition to the Standard of Care.  Maybe we’re a year away from this but I think we’ll start to see some increases to the Standard of Care taking the menu up. But if you look at the US right now all the States are like I said doing at least 20.
Derik De Bruin: Great.  And then just one final question, well actually two questions.  Has there been any surprises in the services business just given some of the consolidation issues going on pharma and also from that perspective are you starting to see or pharma accounts starting to reorder replacement equipment?
Robert F. Friel: So I would the first question which is that we’ve seen much change in service I would say no.  We continue to see fairly robust interest and the sort of one source model or the outsource you know the maintenance of the lab so that continues to go I would say unabated. On the other area it’s a little difficult as you know to characterize all pharma.  It varies significantly by customer.  I would say we’ve seen some instances of it but it’s still fairly rare at least for our products we’re not seeing a significant pick up in CapEx orders from an instrumentation perspective.
Operator: Your next question comes from the line of Robert Hawkins - Stifel Nicolaus.
Robert Hawkins: Can you explain a little bit on the [inaudible] launch and give us a sense of timing and magnitude of launch and this is part of the longer term I guess amino screening process.  Can you go over how you envision that rolling out over the next few years?
Robert F. Friel: Actually it’s right now in sort of a test phase in one State and we expect that will probably take a couple of quarters.  Generally what you’ll see is if it gets adopted in one State it seems to catch on and as I said our expectation is probably in 2011.  We would like to see this added to the Standard of Care menu. From a revenue potential if it gets added to a menu it’s probably $20 million to $25 million just to give you a sort of calibrate [inaudible] perspective.
Robert Hawkins: And as you talk about this as a component of this I think you mentioned something like 50 some other test.  Is this a quarter, a tenth, and is that, you said 2011, so is that one year and then 2012 is another piece of this?  I am trying to…
Robert F. Freil: I think you will see, as we go out, more [inaudible] layered on [inaudible] is one we talked about.  I think also the next panel will be around sort of LSDs.  So I think as you go out, you will continue to add on to the panels.  Our view is that eventually, you will go from 29 to close to 50.
Andy Wilson: The European growth demand.  Is most of that screening and diagnostics so therefore this [inaudible] is less [inaudible] so currency is going to be less of an impact?  On that area of diagnostic, whether it is European or U.S., there has been a 2% to 4% drop in birthrates kind of worldwide.  Does that make much of an impact or is there just so much of the adoption [inaudible] that still has to happen that you don’t even see it?
Robert F. Freil: So in your first question, the European growth that we saw was sort of broad-based.  We do have a big screening business in Europe, but our other businesses also saw growth in Europe as well.  Your second point is while we have seen a reduced birthrate in the U.S., I do not believe we are seeing a reduced birthrate globally.  In fact, I think global birthrates are actually up.
Robert Hawkins: Just one final piece to clarify on that.  Is it enough to, say, bring the division’s growth rate down a couple hundred basis points on that type of drop from [inaudible] standpoint, or is it something you do not even really see?
Robert F. Freil: I do not know that we would see it.  I mean, on the margin, it might have a minor impact specifically on a newborn’s screening business.  Of course, that is not a huge piece of the total company.  So I think the fact that birthrates come down in the U.S. [inaudible] a couple points, I do not think you would see it in the PerkinElmer number.
Operator: Your next question comes from Tony Butler – Barclays Capital.
Tony Butler: Rob, your comment about imaging was very encouraging, though I am trying to rectify that with what I understood GE to say that given the imaging budget [inaudible] that they saw, they claim that may not last.  So I’m curious what your outlook may be for diagnostic imaging for the full year, but most importantly, what kind of visibility do you have?  Do you have visibility for the full year or is it just simply on a quarter-to-quarter basis?
Robert F. Freil: First of all, when GE talks about their imaging business, it includes much more modalities than what we sell into it and I think we have talked about it before.  We basically provide them x-ray panels and, of course, they have numerous other modalities.  So it’s a little difficult sometimes to triangulate what they say with what we are seeing.  The other point I would make is, you know, GE is less than 50% of our business now in medical imaging so, again, while it has a significant impact, there are a lot of other important customers that are impacting our growth rates as well. But having said that, I would say with the visibility that we have is bookings in place and we can probably look out with pretty good confidence one quarter and I would say increasing confidence in at least 6 months.  So that’s what we are sort of basing it on.  But you’re right.  This thing could turn based on what happens with hospital budgets but based on the bookings in place we see now, I think we feel confident that this business will experience positive growth in 2010.
Tony Butler: Really helpful, thank you.  One additional question from a geographic perspective.  Some other peers of yours have had really good quarters out of Japan.  I don’t think I heard Japan being a stellar growth opportunity for you.  Am I incorrect?
Robert F. Freil: Japan was an improvement for us relative to 2009, but it’s not a huge piece of business for us.  But it was positive, I recall, [inaudible] single digits.
Tony Butler: Last question.  Your sort of long-term guidance is $3 billion.  I’m just curious if you could speculate a little bit as to what area would be [inaudible] being environmental even quite frankly within [inaudible] diagnostics.  Which area would you think outperforms the most?  Could you characterize one particular area over another?
Robert F. Freil: Hopefully they all outperform.  But I think diagnostics probably has a greater opportunity at least just from a macrotrend perspective, so I would think that’s one that if I had to pick one, I would say probably the diagnostics area.
Operator: That was our final question.  I would like to hand the call back to Mr. Robert Freil, CEO for closing remarks.
Robert F. Freil: I thank you for your questions.  So going forward, we will continue to focus on three key areas:  first, to increase the growth profile of the company; second, to continue to invest in new and innovative technologies for better detection and prevention in human and environmental health; and third, to continue to achieve good financial returns through strong cash flow and a focused approach on driving operating margin improvement.  I look forward to updating you on our progress against these priorities during our second quarter earnings call.  Thank you for participation in today’s call and continued interest in PerkinElmer.  Have a great day.
Operator: Ladies and gentlemen, thank you for your participation.  The conference is now ended.  You may now disconnect.  Good day.